Operator: Thank you for standing by and welcome to the Dassault Systemes Q1 2006 Results Call. At this time all participants are in a listen-only mode. There will be a presentation followed by question-and-answer session, at which time if you’d like to ask a question, you would need to press “*” “1″ on your telephone keypad. I would like to advise you that this conference is being recorded today on the 4th of May, 2006. I would now like to hand the conference over to your first speaker today, Michele Katz. Please go ahead.
Michele Katz, US Investor Relations Executive: Thank you for joining us for a review and discussion of our financial performance and business progress for the first quarter ended March 31st, 2006. On the conference call are Bernard Charles, President and Chief Executive Officer; and Thibault de Tersant, Executive Vice President and CFO. In addition to presenting our results under U.S. GAAP, we believe it is helpful to provide you with additional financial information. We will discuss U.S. GAAP as well as non-U.S. GAAP financial figures in this call. In particular, non-GAAP financial figures include revenue, operating income, operating margin and EPS before deferred revenue write-downs and excluding acquisition costs and share-based compensation expenses. You will find tables reconciling these differences in our earnings press release. Our financial report on our website also provides information explaining the impact of currency. Some of the comments we will make on this call, either as part of the prepared remarks or in response to questions will contain forward-looking statements. Actual results could differ materially from those projected in the forward-looking statements. Information about the factors that could cause actual results to differ materially can be found in item three of our Form 20-F and in today’s earnings press release. On our website, you can find our first quarter business and financial presentation, which was given earlier today in London and Paris. And in addition, a web cast presentation of the launch meeting is also there for your review. I’d now like to turn the call over to Bernard Charles.
Bernard Charles, President and Chief Executive Officer: Thank you, Michele. We are off to a very good start in 2006, building up on the progress we made in 2005. For the first quarter revenue increased 25% in constant currency. We reported total revenue of 256 million euros coming in above our revenue objectives of 248 million euros to 253 million euros. EPS was equally strong increasing 26% to $0.74 and coming in above our objective of $0.31 to $0.32. Looking at our revenue growth more closely our geographic regions trends across all our product lines contributed to the growth. At the beginning of March, I spoke with few about our MatrixOne acquisition announcement. I am pleased to report that we are ahead of our initial timetable, and expect to complete the transaction by mid-May subject to approval by MatrixOne shareholders on final closing condition. At this point I would like to turn the call over to Thibault for a detailed discussion of our financial performance, and then I will discuss some of the key highlights of the first quarter 2006. Thibault.
Thibault de Tersant, Executive Vice President and Chief Financial Officer: To begin with a brief review of our GAAP and non-GAAP figures. Non-GAAP revenue excludes deferred revenue write-downs, which for the first quarter totalled 3.9 million euros. Operating income, operating margin and earnings per share exclude this same level of deferred revenue write-downs, and our before acquisition cost of 7.2 million euros and share-based compensation of 2.2 million euros. For clarity, my remarks on our revenue figures are in constant currency and on a non-GAAP basis, and profitability figures are on a non-GAAP basis on this. We reported strong financial results in the first quarter. We had a very solid revenue performance. Looking more closely at revenues, software revenue increased 26%, and services had increased 19% both in constant currencies. Revenue growth in constant currency excluding ABAQUS was also good at 14%. Third, we are leveraging our revenue growth delivering strong growth in EPS. And our operating margin was 23.6% in the first quarter, started limiting our 23% growth. Turning to revenue growth by geography, the first quarter was a strong period across all regions and growth was good in all regions before including ABAQUS. The start in the first quarter was certainly Asia with revenues at 31% in constant currency. The year-over-year growth of Asia was broad-based with CATIA, DELMIA, ENOVIA, SMARTEAM and SolidWorks all up significantly. Revenues in the Americas increased 28% in constant currency. We saw particular strength in design with CATIA, in aerospace, fabrication and assembly and power, process and petroleum activity and similarly SolidWorks was also up very significantly. Investments made last year to strengthen the SolidWorks VAR channel in North America are clearly paying off. In Europe, revenues were higher by 21%, which we believe it’s quite good, particularly considering the economic weakness in Europe. Contributing to the growth, we had some very nice wins for CATIA, and for ENOVIA and SMARTEAM and it was also a very active quarter for SolidWorks. PLM, our process-centric revenue excluding PDM was up 26% from constant currency. PDM revenue increased 12% in the first quarter led by good year over growth results at ENOVIA particularly. Our PDM revenues totalled 26.3 million euros in the first quarter and end-user software revenue totalled 38.7 million euros. In mainstream 3D SolidWorks revenues totalled 52.3 million euros representing an increase of 28% in constant currency. We were pleased with seat growth and pricing trends for the quarter. Both the CATIA and SolidWorks units increased 11% to 17,944 in the first quarter. CATIA licenses increased 2% to 7,673 seats. CATIA version 5 end-user revenue per seat was up 1% in constant currency to 12,840 euros. SolidWorks new seats license increased 19% to 10,271, average end-user revenue per seat increased 9% in constant currency in the first quarter in comparison to the year ago period. Looking out to the year, our planning assumes a stable to modestly positive pricing environment for SolidWorks. Moving to operating expenses, there is nothing remarkable to both here compared to our analysis of last quarter. Higher expenses in the first quarter generally continued to attract those seats with headcount growth, and to a large extent this reflects the acquisitions completed over the last 12 months. Total operating expenses increased 27% with 11 percentage points from the addition of ABAQUS, and 4 percentage points reflecting currency impacts. Netting these two factors brings us to an operating expense increase of 12%, largely tracking our headcount growth of 11% before including ABAQUS. In the first quarter and going forward, we are moving to cost of software maintenance related expenses are about 2.4 million euros in the first quarter, that in previous periods were largely included in Research and Development. And after this, excluding this restatement you can see that our software gross margin remains relatively even compared to the year ago period. We adopted SFAS 123(R), Share-based Payments as of January 1st 2006. We continue to estimate that 2006 full year share-based compensation expenses will be about 9.2 million euros for our stock incentive plans granted by December 31st 2005 and not listed at that date. This amount does not include new grants that could occur in 2006. For the first quarter, these expenses totaled 2 million euros. We will be holding our annual shareholders meeting for fiscal year 2005 on June 14th where shareholders will vote on approving an 11% increase in the 2005 annual cash dividend raising it to $0.42 per share from $0.38 per share last year. These aggregate, this is about 48.3 million euros, cash dividend distribution representing a 26% payout ratio. In December, we signed a five-year revolving credit facility and have since then wrote down the full amount of 200 millions euros in anticipation of the completion of the MatrixOne acquisition. We continue to generate good cash flows from our provisions. For the quarter net operating cash flow was 101.2 million euros. Turning to MatrixOne, the special meeting of MatrixOne shareholders to vote on the transaction is scheduled for midterm. If we receive approval, we expect to close very shortly thereafter subject to some final closing conditions. Now lets look at our views on 2006 and the second quarter. We are updating our full year objectives for revenue and earnings with our revenue objective unchanged and our EPS objective slightly lowered as our better first quarter performance was offset by the change in our Japanese yen exchange rate assumption. We are also providing a second set of objectives in order to incorporate MatrixOne into our outlook for the second quarter and rest of this year, assuming the transaction is completed in mid-May. Our objectives are given on a non-GAAP basis. Looking at our objectives before including MatrixOne, they are as follows: Our objective is to grow 2006 total revenues at about 18% to 19% on a constant currency basis, which is in fact one point better than in our former guidance, which was 17% to 18% growth on constant currency basis. This will lead to a revenue range of about 1.105 billion to 1.115 billion euros. Our operating margin objective is about 28.5%, unchanged compared to 2005. Our new EPS objective is about 1.76 to 1.78 euro compared to our previous objective of 1.79 to 1.81 euro. This represents a year-over-year growth of 11% to 12%, slightly lower compared to our previous objective of 13% to 14%. The impact of it coming from our new assumption on the yen currency exchange rate and a slightly different share count. For the 2006-second quarter, we have set the revenue objective of about 260 million euros to 265 million euros. This represents a year-over-year growth rate of 20% to 22% in constant currency. Our EPS objective for the second quarter is about $0.36 to $0.37 representing 9% to 12% growth in comparison to the 2005-second quarter. Our operating margin objective is about 25%. Our financial objectives for the second quarter and full year 2006 continued to be based upon US dollar to euro exchange rate of $1.25 per euro. However, as we said we are updating our Japanese yen to euro exchange rate from 135 to 140. Our outlook with respect to MatrixOne contribution to our financial results for the second half remains unchanged, MatrixOne will however have a slightly higher diluted impact in 2006, and we haven’t really estimate it simply due to the fact that the transaction could now possibly throw us six weeks earlier than what we had initially assumed. Our objectives incorporate in MatrixOne are as follows. Second quarter total revenue of above 275 million euros to 280 million euros, and EPS of about $0.35 to $0.36. Second quarter operating margin of about 23.5%. 2006 total revenue objective of about 1.175 billion to 1.185 billion euros representing 25% to 26% growth in constant currency, its about 7 points of growth coming from MatrixOne before the deferred revenue write-down adjustment we have to make. 2006 operating margin is about 27%. 2006 EPS of about 1.75 euro to 1.77 euro, representing 10% to 11% growth. Having said all of this, I would now like to turn the call back to Bernard. Bernard?
Operator: Bernard’s line has just disconnected, please continue. Please continue while we reestablish Bernard Charles’s line.
Thibault de Tersant, Executive Vice President and Chief Financial Officer: Okay, lets continue. I’ll start then with some first quarter highlights in the meantime. During the first quarter, we introduced our first suite of sourcing solutions called ENOVIA CES for collaborative enterprise sourcing bringing engineering and sourcing together earlier in the product development cycle is going to help companies to further reduce product costs, improve time to market and then also increase product quality. Importantly, introduction comes a very short time after the acquisition of the technology form i2, demonstrating the strength of our V5 infrastructure to develop such a sophisticated set of applications so quickly and so smoothly. We also introduced SIMULIA ABAQUS Version 6.6 with many technical innovations to help customer achieve more realistic simulation of product behavior including new capabilities in vibration analysis, material failure characterization, modelling of tires and the computing performance for true product testing and validation. While they were many wins in the quarter, we would like to briefly highlight a few. Airbus is expanding its usage of DELMIA adding DELMIA V5 Robotics to simulate, validate and program the Robotics assembly lines in association with our CAA V5 partner in it. Airbus has been using DELMIA’s dynamic assembly simulation tools for sometime now. Claas, the leading global manufacturer of agriculture machinery is moving ahead with a full migration to DS Version 5 PLM with CATIA, ENOVIA, and SMARTEAM as well as adding DELMIA. Mayer & Co., the leading global manufacturer of knitting machine is taking additional seats of CATIA V5 and SMARTEAM, thanks to our non-integrated capability. They have an automatic supply on South Korea, its got raising CATIA and SMARTEAM licenses. SolidWorks wins in the quarter included Baker Oil Tools in the US for 50 seats and Garmin Inc. an electronics company in Taiwan, and AC Bell Paritec Inc. (phonetic) also in Taiwan in the consumer goods industry.
Bernard Charles, President and Chief Executive Officer: Thibault, I am back on the line, if -- The dynamics in the mainstream 3D-design market continues to be very healthy, with 2D to 3D migration are the driving force for growth. SolidWorks had a terrific first quarter with strong revenue growth of 28% in constant currencies, and unit growth of 19% as Thibault highlighted. The average seat price of SolidWorks had a nice growth through demonstrating, we can sell on value in this 3D-design mainstream market. SolidWorks recently acquired JCS Scandinavia AB, which is a SolidWorks certified goal partner and developer of Kannichio (phonetic). This acquisition will add multi-side data management capabilities to SolidWorks PDM solution, thereby strengthening its current PDM offer. In our presentation earlier in London and Paris, we spent time discussing the outcome of the supply chain. I encourage you to take a look at the presentation on this chart after the call. Basically, let me share here that we are very convinced of the potential in the automotive supply chain. DS is very well positioned in the automotive industry to start with, walking with many of the leading OEMs around the world; suppliers play an important role in the automotive industry. And this role is increasing in importance. First, OEMs are moving more to the design task on responsibility to supply chain. Second, suppliers need to be able to reuse more of their intellectual property in order to better under the pricing pressure on them. And third, increasing collaboration is critical in order to shorten interaction timeframe and to quicken the pace of the dates as well as and then innovate in the front end of the product development profit. From our perspective, our tools bring such sizable productivity gains in design and must reach our collaboration, we also can provide a smooth evolution to what most of our solution to web suppliers to reuse their intellectual property. Therefore, I believe, we are well positioned to help suppliers as well as to benefit on these trend of innovation on global collaboration. Our acquisition of MatrixOne brings important aspect to our product portfolio complementing this trend of our PLM solutions to offer the most comfortable PLM portfolio on the market. I would like to spend a few minutes updating new things in our conference call in early March. First, MatrixOne, great technology, it enables to support business processes on complex multi-enterprise and multi-systems integration. MatrixOne also brings wider industry coverage, positioning us strongly to extend our presenting such industries as high-tech semiconductors, and consumer goods with other software applications. Second, working with them we want to deliver solutions to cover customers’ needs across the following field. Turning market requirements into product designing; managing the design process; handling supplier collaboration; synchronizing intelligent systems; and ensuring regulatory compliance. Third, MatrixOne brings value to customers in each of these areas, with significant improvement in product launch costs, time managing suppliers, deal of material accuracy and compliance costs. Customer response to the acquisition has been very good on both sides. MatrixOne just released its quarterly results yesterday with solid revenue growth and solid progress on improving its bottomline performance. We did some expanded business relationship with leading companies in the quarter, including KLA-Tencor, a semiconductor equipment manufacturer, Guess Inc., in apparel and Baria (phonetic) group in consumer products. In summary, we are excited about these acquisitions and the value it brings to us. As we mentioned in our yearend conference call, our goal in 2006 is to continue to pave the way to grow and evolve our phase channels to better address the requirements and the opportunities of the small and medium size businesses of SMB. And that is exactly what we continued to do in the first quarter. First, in the Mainstream 3D market, we are benefiting from our prior investments. SolidWorks has developed a strong network of VAR and this channel is working very effectively. Nonetheless, we continue to strengthen the resources provided to our SolidWorks VAR network and are working with the VAR to increase capacity. In PLM, the work effectively address the SMB opportunities, we continue to look at each country or region in order to access the best approach to the local SMB market needs. Our evolution to this CMP model has been one response, which is progressing well. In addition, we also began direct management of VAR network in specific markets. As you know, early last year, we began walking with a group of VAR in China under BS direct management, and we are pleased with the progress today. In November of 2005, we started direct of our site of PLM SMB channel in Australia and New Zealand. And as we speak, while beginning to operate in similar manner in Latin America and Taiwan, we think this is the right approach. Looking at each local SMB market, and the requirements of the SMB business partners. Naturally, an evolution of this type that requires challenging role, responsibility and account management across the border are other players internally at BS with IBM, and across business partners and with new VAR. To date, this has been a relatively smooth transition and is already showing great results. In summary, we are pleased with the progress of the first quarter. Looking ahead, we expect 2006 to be a year of significant growth for Dassault Systemes. So, let me stop here and we will take your questions.
Questions & Answers:
Operator:
Operator Instructions:
Q – Jay Vleeschhouwer: Thanks, good morning Bernard, good morning Thibault. I would like to ask you first about the Matrix acquisition now that its eminently going to close, could you talk a bit more about the integration itself you have been holding off on describing the specific things you are going to do in terms of R&D management, sales management and the like. And of course, one major convenient to do is reduce the cost structure by a significant amount, if you could go into some more detail as to how you are actually going to do all of that?
A – Bernard Charles: As we are ahead of schedule for the acquisition of MatrixOne, that should be targeting to be May, as you can imagine we have done a lot of work with the team to really prepare the next way of our product solutions. So, the product will not be key, the route to market is very key and of course all these we’ve well integrated, a team for what we call collaborative PLM. So in short, what I can say, but once again, the closing is not done. So, we will give you much more information in July during the Analyst Road Show in June, but I can confirm the following facts. First of all, the team is extremely liquidated to join Dassault Systemes. Second, the customers are all providing, giving back excellent feedback about this move as well as the partners whether they are law system integrators IBM, and also the account executing business partners or existing from both MatrixOne as well as from Dassault Systemes. So, the feedback on the justification had been well understood by the key stakeholders. This is one key point. Second key point, the way we want to reach the market is going to be done leveraging the channels, the PLM channel we have and supplementing the channel we have with the MatrixOne channel that we will scale up to do much more of indirect sales. Second, on the R&D side, we do plan to consolidate our full R&D investment, we were doing significant investment on both the ENOVIA VPM world as a product modeling as well as our marketing world for business process expansion, and now with the context of MatrixOne we can save those investment and reuse the co-modeling of MatrixOne in all product line for business process modeling. Furthermore, we can reduce significantly the costs structure as, of course the company we’ll not be anymore an independent company and many task can be integrated. We will have one global R&D team, a channel that leverage the PLM channel with IBM with our existing partners that supplement for new markets. On the data we have delivered at the announcement, Jay, at the announcement about the savings, we have not updated them officially yet. Why we have done a lot of detailed work because we don’t see any value of doing that between now and closing in a few days from now. We have updated our product road map and we will be doing a road show in June visiting key customers and partners to really show them the visibility and what is going to be delivered as early as this year. I think what we have observed since we talked early March confirms that the strategy is right, that the plans that we announced can be done and that there is a real value for customers and partners except what we execute on the – I believe that both in June, I mean the second quarter results, we will be able to give you more details as we will be addressing in place, I don’t see these as a long transition, I see the integration being extremely quick and I think with what we have done in ABAQUS is I think becoming a benchmark for how we can do that, I believe we can replicate it for this new world of collaborative PLM.
Q – Jay Vleeschhouwer: But perhaps one difference here between ABAQUS and Matrix’s ABAQUS was grown well and was also nicely profitable which was not the case. For the most part with Matrix, does that make the integration of Matrix perhaps unusually challenging and as much as it was not a typical acquisition for you?
A – Bernard Charles: This is what I thought at the beginning, and as we are now quite clear on the but just on the overall organization as well as the route to market, I think that it should go smoothly, the real thing here is I think the complement I feel the solutions we have is very strong as a matter of fact, and we have not got any specific concerns on customers saying which solution I should pick, we have a clear road map for how to overcome and the best solution provided the problem we want to solve. We’ll see -- I cannot say much more Jay because once again closing is not done on their things, which are even not fully official, as we are not at the right to share them, with only one yet in the teams but the basic work has been done.
Q – Jay Vleeschhouwer: Okay, just a couple of last questions. With respect to CMP, the presentation this morning suggested you are seeing an improvement in productivity and efficiency, what does that mean exactly, I mean in terms of productivity for business partner, and you are expanding your regional coverage as you mentioned, would that my attention is that you are employing a VAR model in some of these new territories rather than agency model and I am wondering why are you doing that in those regions and might you expend to a VAR model more broadly in other regions?
A – Bernard Charles: Well, the mix between agent and VAR model existed for a year already based on the new configuration technically in Asia. So we have been very familiar with those, this model in the past working with IBM. So, that’s one aspect, and I think clearly the each model, their own characteristics and advantages based on what is the maturity for the partner channel to sell them value, clearly, we’d not go to many of the knowledge we have on this topic but clearly there are countries in which its easier to sell on value than orders and you have to adopt the model accordingly. So, that’s one point related, so there is no unification model, it will be adapted to the countries to make sure we have the proper process to continue to sell on value, and continue to drive the business in the proper way. That’s one point for the mix of the model. The second point on a rational our belief is, there are really areas of the world where when you drilling in the numbers, we think the gross we can get there on the characteristic of the market itself is such that we have not been necessary using the best route to market up to now for PLM. On the Latin America, for example, while you are certain number of large companies, you are lot of SMBs, I think we need to really build a long-term sustainable partner network and that’s the kind of moves we are doing. So, you will see us continuing to adapt that. The effect on the revenue as Thibault said, is really marginal for the moves I had described. So by no means those moves are aimed at creating a growth what Dassault Systemes results are being truly – true growth on the footprint for the market. All those moves are done to get growth on the footprint for the market, not only growth for the revenue. And we are very careful on making sure we do the proper sharing of the new business model with partners so they can invest and be successful in deploying PLM. That is what is the driving factor for us. And I think on the note on some of our competitors on this, but I think the trajectory we are showing is clearly to build the footprint growth.
Q – Jay Vleeschhouwer: And in fact, the SolidWorks, would you expect that for this year and perhaps into next excluding the acquisition of ABAQUS and Matrix that SolidWorks would continue to provide the most – majority of your incremental revenue in terms of the total DS grow, are you continuing to count on SolidWorks to provide that continuing disproportionate amount of growth and what was the rationale for this tiny Kannichio acquisition, one SolidWorks associated itself more with SMART as it had historically rather than now having, let’s say 3.5 PDM brands with Kannichio why not go a step further and also have SolidWorks color that as even more of a separate identity by perhaps also including the Cosmos revenues and have a complete design PDM analysis identity?
A – Bernard Charles: Well on the Kannichio first of all, I would debate the fact that you say it’s in the harp PDM, it’s a good SolidWorks that MNS on tool, that’s the reason why we made these small acquisitions, the small acquisitions, we don’t want to give anybody the financial data we don’t need to. And the reason is very simple; SolidWorks customers want to manage the SolidWorks data. It’s very SolidWorks data centric, it works extremely well, PDM work has been successful, should continue to be strengthened. When I see customers want to buy with the proper value, when I see the VAR charter that want to sell and get the proper money, and I may see a solution which is easy to sell and provide both value and customer satisfaction as well as growth, why should we not do those moves? Specifically when its team of ten people doing a great job. So, I think the market is evolving to what being flexible to provide good, efficient, cool, easy to use solutions, that can be easily sold, easily deployed and that would not address the full scope of what PDM or PLM is supposed to do. So, that’s in short, what we are doing and I think these will accelerate the growth power for the volume channel that we have with SolidWorks, the value to customers and the satisfaction. That being said, nobody claims that PDM work for SolidWorks address PDM functions or enterprise, including our own SolidWorks VAR channel. So, we will also leverage our SMARTEAM solution as we have started to do as well as whenever it is justify the MatrixOne solution to provide enterprise PDM or PLM solutions to SolidWorks customers. There is a lot of growth that can be done there, and we will not hesitate to build that goal spot. So, that’s the second comment relating to the PDM and PLM approach. It’s clear that there cannot be no VAR PLM approach what we called what is under the name of VPN is center along highly integrated business process for product development of complex products, is successful and there is a great traction, I think it’s being adopted by most of the CATIA customers and this will continue to grow. So with that comment, I want to tell you Jay that we expect the collaborative PLM to be also a significant source of growth with or without the acquisition of MatrixOne. It’s 12% for the first quarter, was a strong growth in 2005 and we expected to be a nice growth in 2006 too. And lastly, the way things are evolving in doing the integration between design, production and simulation, it’s evolving in a way where customers are less unless hesitating to take an integrated solution. The adverse decision to go full speed with DELMIA is a demonstration that after having deployed CATIA V5, they want to do difficult manufacturing, they assign for SIMULIA ABAQUS for simulation, at least to start with it was done, I think second quarter of 2005. So, I think it’s unstoppable wave and I believe that the PLM process-centric market by itself will grow with boundaries about brands that we change overtime. So, that’s in short why I believe that’s SolidWorks is not the only driving force, the collaborative PLM is also a significant driving force for growth and it’s up to us to execute well. As now we’ll be taking your questions there are transitions that we need to do in our phase machine, and I think we are addressing them right now.
Q – Jay Vleeschhouwer: Thank you Bernard.
A – Bernard Charles: Thank you Jay.
Operator:
Operator instructions: We have a question from Mark Rhode (phonetic) from Main First Bank. Please go ahead.
Q - Mark Rhode: Yeah thank you, I’ve got two points, I want to clarify. One is on the new license payouts, which was 376 last year and 89 million in the first quarter. Could you give us some idea how would the share of that through the IBM channel will change, or is likely to change due to your channel build-out efforts in the current year and going forward? If you can’t quantify then just as a general indication what kind of magnitude we should be thinking about. And then second point is trying to get some more granularity as they say on the process-centric revenues, you can do a little arithmetic by multiplying the unit sales of CATIA by the revenue proceed, and always obviously you get a little difference vis-à-vis the reported process-centric revenues, which is obvious, just as the difference has now quite doubled year-on-year, and I was wondering if you could say to what extent those are perhaps DELMIA revenues or how we should think about this, because if it was growing then one could get some kind of idea how more relevant DELMIA maybe have to come within the numbers? Thank you.
A – Bernard Charles: Thibault, maybe you will add some numbers to my comments but if I may we’ll talk with some general comments about the evolution of our PLM channel. Our global PLM channel is evolving because we want to direct new challenges. We want to address quite a lot of price integration products companies with PLM. We want to address collaborative PLM or PBM. We want to address PLM for SMB, and we want to address PLM for new sectors. Those are the four things we want to do in the big scope of PLMization of the industry. What you could go for those four objectives are the drivers to reshape the way we should serve the customers. No doubt that our partnership with IBM is working in large account providing total solution to customers, and we should and we will continue to leverage and built-up the revenue there with system integration, middleware, integration on many other things that customers are acquiring to fast the broadening processes. And the second goal, which is collaborative PLM infrastructure. We see two dynamics there, one related to large account, one related to Direct Assistant (phonetic) and for Direct Assistant the bottomline is those suppliers of large companies want to get excellent local support. They don’t want to get an order from a BGOAM (phonetic) to use something. They want to get strong support from – local support. That’s why we are scaling up with our PLM VAR on agent network to do that. On (indiscernible) as we play a bigger role in the (indiscernible) we’ll change the equation, we’re yet to engage with idea. And lastly on the SMB side, honestly speaking its very clear. We need to make this lean on efficient on what has been done for SolidWorks is a benchmark for the industry. It can be applied to PLM SMB and that’s what we want to do. So the IBM total revenue or contribution for that system is going to be below 50% this year of the total Dassault Systemes revenue. And we want it to continue to grow, we’ll reshape whatever needs to be reshaped with IBM to make it successful but we have to get the footprint in new markets with MatrixOne, with SMARTEAM, with ABAQUS. And we’re selling to Procter & Gamble, to many companies like this, to CPG customers, and this needs to scale up because we believe we have unique offering. In that I think I expect maybe the revenue growth coming from IBM to grow slower than the total Dassault Systemes revenue growth, but we’ll continue to be a significant aspect of it. Lastly on the PLM phase, on the contribution of DELMIA, we don’t speak that way because sometime now, we are also ask for digital manufacturing project to sell the design tools. So even the customer is investing massively to do digital manufacturing, you’ll ask us to deliver the design tools for the manufacturing system, not for the product design system. So the frontiers that we’ve been used to are about changing, but there is one thing which is unique to conclude is we have a common architecture called V5 across all product lines of the PLM world. And that is making the difference as compared to the competition. With that, Thibault I don’t know if you want to put some additional numbers.
A – Thibault de Tersant: Well, on the first point, the new license sale and the impact of our efforts with SMB channels, this is a very modest impact because of currently how they represent more than 5% of the new license revenue coming from IBM. What has – more revenue impact of course is the acquisition of ABAQUS, and potentially MatrixOne, you know but certainly the channel side, at this point doesn’t have a great impact on this IBM share. On the process-centric revenue comment, I’d like to come back to the CATIA business. As we had a very good performance on the CATIA side, actually in the first quarter, and I knew that the increase in units of 2% and increase in pricing of 1% make EBIT a different perspective on it. But what has to be kept in mind is that we have a nice increase in recurring revenue for CATIA, which is based on the rental licenses that has been sold in 2005, and also beginning of 2006. And to our continued expansion of the CATIA install base, which is still quite good. In addition to that we’ve also product development revenue, which was quite healthy in the first quarter, and the portion of it was attributable to CATIA, so overall we had a nice growth for CATIA, which was in fact quite in line with our process-centric revenue growth after excluding the ABAQUS contribution. So, this is one indirect way to answer the question, to try perceive there is nothing extraordinary on the DELMIA side, just the normal quarter on the DELMIA side, and we’d a better growth on CATIA then what can be read easily for the license sales and the pricing trends.
Q - Mark Rhode: Okay, maybe just as one follow-up, just to make sure I didn’t or I am not going to misinterpret what you said. With regards to MatrixOne, has it – I mean apart from the D&O having associate but have you already taken the decision as to how you’d want to go to market with the product, is it a given point that it won’t be through IBM or is that something you can’t comment on or hasn’t been decided at the point?
A – Bernard Charles: The decisions are made; the structure is in place, it’s too early to speak about it.
Q - Mark Rhode: That’s fair enough. Thank you very much.
Operator: Your next question comes from Michael Briest from UBS, please go ahead.
Q - Michael Briest: Good afternoon, just one question from me. In terms of the guidance for Q2, you are looking for 260 to 265 million of sales for MatrixOne. Historically, you had quite a nice seats a lot left in Q2 looking back over the last three years. It seems that the 8% is the normal Q1 to Q2 increase in revenue. So we are nowhere near that for this quarter. I mean is this a natural course in there or is this something else that we should be aware of why that seats are lot left happening this year?
A – Thibault de Tersant: Yes, there are some reasons. First of all, I am always cautious with these historical patterns, and having very good second quarters, last year and the year before doesn’t necessarily mean we have an outstanding quarter, second quarter. This year there is nothing that would really lead to such a type of a better second quarter in our business, and there are a couple of factors I’d like to highlight. One is the SolidWorks pricing, I think we have reached a very good price for SolidWorks, certainly we are going to continue to try to expand it, but just from a pure arithmetic standpoint, if I assume it remains the same the percentage increase compared to second quarter of 2005 is into being much less than the percentage decrease compared to the first quarter of 2005. So this one impact to keep in mind, combined with the fact that we are expecting that the product development going to, it get used in second quarter, simply because most of the functionalities that had been ordered by going for the 787, have they all been delivered in the first quarter. So at least now these two elements to keep in mind before judging second quarter guidance.
Q - Michael Briest: So you’d categorize it as any more cautious than that as normal level of caution?
A – Thibault de Tersant: No –
A – Bernard Charles: This is why I let Thibault speak.
A – Thibault de Tersant: Still the same.
Q - Michael Briest: Okay thank you.
Operator: You have a question from Stephen (phonetic) from JP Morgan, please go ahead.
Q - Stephen: Hi, this is Stephen from JP Morgan. Just a basic question, Microsoft and Unigraphics commented yesterday on expanding their corporation. Maybe you could briefly comment on what that means for you in terms of competitive positions?
A – Bernard Charles: Yes, sure. The partnership that we’ve established two years ago with Microsoft is I think a unique one. It’s providing results, and we’ve really a very strong customer demand to continue to take advantage of the Microsoft infrastructure. We of course are also expanding our alliance with IBM on the middleware side, technology side. I think its normal that Microsoft as well as IBM did it, we also have a competitor promote middleware infrastructure for everyone. I don’t see this as an issue for us at all, and I don’t see that this will even impact by any means the quality of the corporation we have. Again of the day what counts here is leadership and the partnership, innovation and capacity to provide unique solutions to customers. I think we have demonstrated that we could do that with both Microsoft and also because of players in the industry. And its no news, no impact as a matter of fact, its even an exciting way to continue to show how we make differences in our solutions. And that’s a good way to do the business.
Operator: There are no further questions at this time, please continue.
Bernard Charles, President and Chief Executive Officer: Okay, thank you very much, we are just on time, and thanks all of you for participating this morning in London and in Paris, and of course this afternoon in this core, and of course as you know we’ll always be available to provide you with additional comments or information. Thank you very much and we’ll talk to you in July.
Operator: That does conclude our conference for today, thank you for participating, you may now disconnect.